Operator: Good day, and thank you for standing by. Welcome to the Patria Fourth Quarter and Full Year 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference, over to your speaker today, Rob Lee, Head of Shareholder Relations. Please go ahead.
Rob Lee: Thank you. Good morning everyone and welcome to Patria's fourth quarter 2024 earnings call. Speaking today on the call are our Chief Executive Officer, Alex Saigh; and our Chief Financial Officer, Ana Russo, and our Chief Economist Luis Fernando Lopes for the Q&A session. This morning, we issued a press release and earnings presentation detailing our results for the quarter, which you can find posted on the Investor Relations section of our website or on Form 6-K filed with the Securities and Exchange Commission. This call is being webcast, and a replay will be available. Before we begin, I'd like to remind everyone that today's call may include forward-looking statements, which are uncertain, do not guarantee future performance and undue reliance should not be placed on them. Patria assumes no obligation and does not intend to update any such forward-looking statements. Such statements are based on current management expectations and involve risks, including those discussed in the Risk Factors section of our latest Form 20-F annual report. Also note that no statements on this call constitute an offer to sell or a solicitation of an offer to purchase an interest in any Patria fund. As a foreign private issuer, Patria reports financial results using International Financial Reporting Standards or IFRS as opposed to U.S. GAAP. Additionally, we would like to remind everyone that we will refer to certain non-IFRS measures, which we believe are relevant in assessing the financial performance of the business, but which should not be considered in isolation from, or as a substitute for measures prepared in accordance with IFRS. Reconciliations of these measures to the most comparable IFRS measures are included in our earnings presentation. Now I will turn the call over to Alex. Alex?
Alex Saigh: Thank you, Rob and good morning, everyone. The fourth quarter capped a very exciting and indeed transformational year for Patria, as we raised $5.5 billion exceeding our full year fundraising target of $5 billion. Fundraising included approximately $300 million we raised in our advisory business, for third party managers for, which we earned a placement fee, with a balance of $5.2 billion contributing to our asset base. A wide variety of strategies and products contributed to our fundraising, most of which did not exist at our IPO. We also achieved our 2024, FRE fee related earnings target of $170 million or $1.12 per share, reflecting the resiliency of our business and the momentum we have built heading into 2025. As we highlighted at our recent Investor Day on December 9, the greater diversification of our platform is paying off and we are confident in our new three-year target we introduced at Investor Day. Now let me quickly summarize, our full year 2024 and fourth quarter results before we move on to some of the other highlights for the quarter. First, we are pleased to report that we achieved our full year 2024 fee related earnings target of $170 million, up 15% from 2023, while fee related earnings per share reached $1.12, up 13%. For the fourth quarter, fee related earnings reached $55 million, up 35% from the prior quarter and 18% from fourth quarter 2023. On a per share basis, fee related earnings of $0.36 in the fourth quarter rose 35% from the third quarter, and 13% year-over-year. Heading into 2025, we believe we are on track, to reach our full year fee related earnings target of $200 million to $225 million, or $1.27 to $1.43 per share. Next, we generated over $41 million in performance related earnings, or PRE driven primarily by the previously disclosed sale of our Chilean decentralization project Aguas Pacifico in Infrastructure Fund III. With this monetization, we believe we are on track, to deliver on our updated cumulative performance related earnings guidance, through 2027 that we announced at Investor Day of approximately $120 million to $140 million. As a reminder, we expect our Infrastructure III Fund, with approximately $47 million of net accrued carry remaining as of year-end, to be the primary source of carry generation through 2025. Since 2022, including Aguas Pacifico, our infrastructure strategies will have returned over $2 billion to investors. Putting it all together, we generated $189 million of distributable earnings for the full year, and $89 million in the fourth quarter. On a per share basis, we delivered $1.24 and $0.58, respectively. Next, the net accrued performance fee balance of $319 million, or $2.08 per share, declined 30%, mainly due to our significant realization in Infrastructure III, the appreciation of the dollar, which has partially reversed course so far in the current quarter, and lower marks on publicly traded holdings in our carry funds. For perspective and notwithstanding declines in the value of the public holdings in our carry funds in the fourth quarter, underlying business trends at our private equity portfolio companies generally remains strong. In local currency terms, EBITDA at our private equity portfolio companies, rose approximately 14% on average over the past year as of September 2024. As we focus on resilient sectors of the economy within private equity, such as agribusiness, food and beverage and healthcare. Furthermore, within infrastructure, we invest in and develop across the region long duration assets such as the Aguas Pacifico desalinization project mentioned previously that benefit from secular strong tailwinds. Other examples include data centers, cell towers, renewable energy and toll roads. These infrastructure assets often enjoy the benefits of long-term service contracts with inflation escalators, and are sometimes denominated in U.S. dollars, providing long-term resiliency against short-term fluctuations in interest rates and other macro factors. The earning AUM of $33 billion, rose a robust 38% year-over-year, but declined 3% sequentially, driven substantially by dollar appreciation. However, it is important to put this in perspective. Net organic inflows in fee earning AUM in the fourth quarter were a positive $380 million with each investment vertical except public equities, generating positive inflows. Our asset base remains very sticky with 20% in permanent capital vehicles, and approximately 90% in vehicles with no or limited redemption rights. As we highlighted at Investor Day, the fee related earnings impact from FX volatility, is modest given that most of our expense base, is denominated in local currencies, providing a substantial natural hedge. We estimate that for every 10% change in soft currencies, our fee related earnings impact is approximately 2%. And for perspective, only about 20% of our expense base, is denominated in dollars versus over 55% of our revenues. Since year end the dollar has depreciated against most of the currencies relevant to our business. Dollar denominated fee earnings AUM, account for approximately 55% of our asset base with another 15% in other hard currencies. Dollar exposure includes close to 10% of our investments that are directly exposed, to the United States primarily through GPMS. As highlighted in the earnings presentation in local currency terms, investment performance in 2024 was strong, particularly within credit. Local currency returns are increasingly important as we source more assets from local investors, to invest in local strategies. Moving on to fundraising, as I noted at the start of my remarks. We are very pleased, to report that we exceeded our $5 billion fundraising target for 2024, raising $5.5 billion inclusive of approximately $300 million of advisory assets for third-party managers, for which we earn a placement fee. Indeed, achieving our target for 2024 means, we exceeded the three-year fundraising targets, we set back at our 2022 Investor Day, as we continued to benefit from the greater diversification of our product offering, and distribution capabilities. We believe we enter 2025 with positive fundraising momentum, and are excited with the opportunity, to achieve our 2025 target of $6 billion as we are actively fundraising, across a number of funds and strategies in addition to a variety of SMAs in GPMS, private equity and infrastructure. Fundraising in the quarter and for the full year, was led by our credit and GPMS platforms, where we raised approximately $1.4 billion and $2.3 billion respectively. Further highlighting our progress in diversifying our platform, and enhancing the growth profile of our business is the progress we are making in building our local investment and distribution capabilities. Approximately 70% of our fundraising in 2024, and 50% in the fourth quarter 2024, came from local investors investing in local products, versus virtually nil in 2020, the year prior to our IPO four years ago. Indeed, one of the benefits of our expanding investment and product capabilities, is that we can better serve shifting investor demands, within the region in response to changes in the investing environment. In Brazil, for example, we have seen increased demand for our credit strategies, as demand for more equity oriented strategies has softened, in response to higher interest rates. Our efforts to diversify our business also increases our resiliency in the face of near term macro headwinds. For example, and contrary to common perception, Brazil represents less than a third, of our investment exposure versus 90% plus, at the time of our IPO only four years ago. Reflecting on the macro environment, it is also important for investors to recognize that despite near term macro headwinds within the region, in addition to global uncertainty that has been created, by the recent election in the United States and its potential impact on cross border flows, we believe Patria is well positioned to weather, and indeed thrive in these uncertain conditions. Latin America remains a very attractive destination for investors long-term capital commitments, given its many positive attributes including large internal markets, with a growing middle class, global leadership in clean energy, and ongoing demand for infrastructure investments, not to mention competitive advantages in key business sectors, such as agribusiness and low levels of geopolitical risk. These competitive advantages are increasingly being recognized by larger sophisticated global investors such as sovereign wealth funds, as well as local institutions that are often required to invest locally. Many of our private equity strategies such as healthcare, logistics and food and beverage businesses, focus primarily on serving local, domestic and regional markets, and infrastructure by definition focuses on serving local market needs. In industries with an export oriented component, such as agribusiness Asia and Europe tend to be our primary export markets. Our direct investment exposure to Mexico is quite limited at approximately $1.2 billion or less than 3% of our AUM with investments primarily in credit and public equities. Our GPMS business, which comprises approximately 30% of our fee earning AUM is focused on middle market private equity investments within Europe and North America. With over $3 billion of our assets exposed to the United States and $7 billion to European markets. In total, close to 10% of our assets are directly exposed to the United States, and our current direct exposure to Canada is immaterial. We also wanted to take this opportunity, to reiterate a theme that we covered in depth at Investor Day, namely that our ability to deliver our expanding range of investment capabilities, through a broader range of investment vehicles and structures allows us to reach and better serve new pools of investors globally. This is an underappreciated, but very important aspect of our evolution from a product centric alternative manager, to a client centric focused investment solution provider for our investors. For example, our enhanced SMA capabilities allow us to develop customized solutions, for large sophisticated LPs both globally and within Latin America. The inherent complexity and customization of an SMA creates a very long dated relationship that often provides, for the recycling and compounding of capital. We now have approximately 16% of our fee earning AUM in SMAs versus zero at the time of our IPO. We have also been expanding the number of domiciles in, which our investment products are registered and offered. Within credit for example, we re-domiciled our flagship dollar denominated high yield credit fund from Chile, to a more widely accepted Ireland listed fund. This greatly enhances the ability of global investors to efficiently, and at low cost access this important strategy, as do our new Luxembourg-based UCITS, UCITS structure and a U.S. focused credit fund. We also continue to build locally domiciled vehicles, to take advantage of our local investment capabilities and investors home country buyers in order to attract both retail and institutional investors. Prime examples being our Colombia focused private equity and infrastructure funds that co-invest alongside our flagship funds. Pulling this all together, our financial results and strong fundraising provide additional evidence that our strategy to diversify and grow our business, both organically, inorganically, while also increasing its resiliency is paying off. It's been only four years since our IPO, but as we highlighted at our Investor Day, which is available on our website, over that brief period of time, we have greatly expanded our regional and global investor base and distribution capabilities, and have significantly diversified our investment and product platforms. We are proud that we have been able to deliver on the targets, we set out at our IPO, as well as our first Investor Day in 2022, and are excited to deliver on the fundraising, fee, related earnings, and other targets we unveiled at our recent Investor Day this past December. Now let me turn the call over to Ana, to review our financial results in more detail. Thank you.
Ana Russo: Thank you, Alex and good morning, everyone. As Alex mentioned, the fourth quarter kept an exciting and transformative year for Patria, as we significantly enhanced the diversification, growth potential and resiliency of our business, achieve our 2024, FRE and fundraising goals, and unveiled our new three-year targets at our recent Investor Day. We believe we are entering the year with the momentum necessary to meet our 2025 objectives. Let's review our full year and fourth quarter results. As Alex highlighted earlier, we are very pleased that we achieved our fundraising target for 2024. Our fee AUM rose 38% year-over-year to approximately $33 billion and this increase was largely driven by $11 billion from acquisitions mainly in GPMS and real estate, partially offset by an FX impact of about $1.9 billion, due to the appreciating dollar of which $1.5 billion occurred in the fourth quarter. Total inflow to fee AUM of $4.2 billion, were offset by the planned step down of Private Equity Fund IV that we reviewed on our last earnings call, as well as expected realizations in GPMS, dividends across the platform and redemptions in public equities. In the quarter, Patria generated approximately $380 million of net inflows. Despite outflow pressure in public equities. However, mainly due to the appreciating dollar, fee AUM declined 3% quarter-over-quarter. Although the appreciation of the U.S. dollar negatively impacts fee AUM, it had little impact on our FRE in the quarter. As we reviewed our Investor Day, our FRE has limited sensitivity to FX movements, as our expense base provides a substantial hedge, against currency movements that may impact fee revs and our fee revenues. Based on our current asset class mix, a 10% variance in soft currencies against the dollar impacts FRE, by only about 2%. It's worth noting that since the end of fourth quarter, the dollar has depreciated against most currencies, including the real. Assuming the average exchange rates in the relevant currencies in the past two weeks, we estimate fee AUM, and net accrued performance fees would recoup approximately one-third and 50% of the FX impact experienced in the fourth quarter, respectively. Total fee revenue in the fourth quarter and full year reached $93.2 million and $300.8 million, up 41% and 25% from a year ago respectively. Fourth quarter total revenues increased $27 million versus Q4, '23, driven by the full impact of the GPMS, Credit Suisse, VBI and Nexus acquisitions, and higher fee AUM. Additionally, fee revenues for the full year benefited from the $13.8 million of incentive fees, $12.3 million of, which were recognized in the fourth quarter. As a reminder, incentive fees are primarily realized in the last month of the year, and in 2024 were driven mainly by our credit platform, and more specifically from our LatAm and Chilean high yield and Chilean local currency strategies, which continue to generate strong performance and new business flows. Our management fee rate for the year averaged 96 basis points as reviewed at our Investor Day, we are diversifying our business and introducing new investment strategies and product structures, which are key drivers of our growth. Consequently, our management fee rate will continue to evolve, and we expect our fee rate over the coming years to trend towards approximately 90 basis points. Moving on, operating expenses, which include personnel and G&A expenses, totaled $37.6 million in the quarter and $128 million for the full year. The increase were driven by acquisitions, with the remainder attributable to increased personnel expenses reflecting salary increases and bonus, and continue investing in our business. In addition to the impact of inflation. The increase in personnel expenses in the fourth quarter, compared to the 2023 also reflects the 2023 impact, related to the equity-based compensation program that we launched by mid-2023, and a seasonal increase in expense. Putting it together, Patria delivered fee related earnings of $54.8 million in the quarter up 18% versus the prior year and $170.1 million for a full year, achieving our target and reflecting an increase of 15%. Our FRE margin in the fourth quarter, was 58.8% helped by high margin incentive fees, while our full year margin was 56.5%, within the range of our 56% to 58% guidance. Overall, as we enter 2025, we remain confident in our fundraising target of $6 billion and in our ability to achieve our FRE target, of $200 million to $225 million with an FRE margin between 58% to 60%. On the subject of FRE and FRE targets, we also wanted to remind everyone that with Our M&A in 2024 now fully reflected in our results, we are very focused on generating organic growth, and we expect only about 10% of our 2027 FRE target of $260 million to $290 million to come from acquisitions. Next, as Alex highlighted, we realized a healthy performance fee in Q4, out of the Infrastructure Fund III. The realization put us well on the way to reaching our updated PRE target through 2027. Also, our net financial and other income and expense in Q4, '24 total at negative $3.7 million and a negative $9.2 million in 2024. This line item mainly reflects interest expenses on our credit facilities partially offset by income generated in our new energy trading platform Tria. Our effective tax rate in 2024 was 6.5% representing an increase of 1.6 percentage points versus 2023, reflecting our evolving business mix and new platforms located in higher tax jurisdictions. Our full year tax was within our 6% to 8% guidance and is expected to trend towards 10% at the end of the three-year target period in 2027. Regarding distributed earnings, we generated $89 million in the quarter and $189 million for the full year up 26% and 2% respectively. On a per share basis. Q4, '24 and full year 2024 DE were $0.58 and $1.24 respectively. Fourth quarter DE per share, was up 22% versus 23% mainly on higher FRE and PRE, but full year DE was essentially flat year-over-year due to higher financial expenses, lower PRE, higher taxes and higher share counts. With regard to the share count, we finished the year at 153.6 million shares in line with expectations, and continue to expect the share count to average between 158 and 106 million from 2025 through 2027 inclusive of share repurchase, which will be focused on offsetting stock-based compensation. Shifting to balance sheet as planned, we finished the year with approximately $190 million of net debt, as we funded M&A related payments and other year-end obligations. Our total funding is expected to reduce throughout 2025 in line with our objectives mentioned during PAX Day. As we previously discussed, we expect to use proceeds from PRE mainly to paydown M&A related debt. Finishing up on capital management items. In keeping with our guidance, we announced a fourth quarter dividend of $0.15 per share. We did not repurchase share in the quarter, but it remains our intention to repurchase share in 2025. Finally, while we believe FRE and DE are the best financial metrics with, which to measure our results and ongoing earnings power and are the metrics that, are most comparable with our alternative manager peers, we would like to comment on some items in our DE to net income reconciliation. You will notice that transaction costs our M&A related expenses rose in the quarter to $13.7 million. This mainly reflects the year-end catch up of expenses related to M&A, including legal, regulatory and consulting fees among others. We would expect M&A expenses to approach nearly zero in 2025 as we have no current M&A plan, over the next several quarters. Also, our stock-based compensation was $7 million in the quarter bringing our full year total of $20 million. For 2025, we expect our full year stock-based compensation to total around $28 million to $30 million as our program enters its third year. Subsequent to 2025, we expect the pace of growth in our stock-based compensation cost to moderate. Overall, we are pleased with our 2024 results, and the momentum we have built as we continue to diversify and improve the resilience of our business. We believe we are on track to meet our FRE targets for 2025, and we are excited regarding the growth opportunity that lies ahead. Thank you everyone for dialing in, and we are now ready to take your questions.
Operator: [Operator Instructions] Our first question comes from Beatriz de Abreu with Goldman Sachs. Your line is open.
Beatriz de Abreu: Hi, good morning everyone. Congrats on the results and thank you for taking my question. I have two questions. The first one would be a clarification on PRE. So on the sale of Aguas Pacifico press release you mentioned that the sale would be completed in 1Q although the transaction was signed in the last quarter of 2024, so just wanted to understand, if we should expect something or an additional distribution on PRE, or if all the distribution happened in 4Q. Also, if you have any visibility regarding other exit strategies of Infra Fund III, anything you're able to comment on that would be really helpful. A second question would be on the redemption on public equities and credit strategies in 4Q. If you see that trend continuing or reverting into the first quarter of 2025? Thank you.
Alex Saigh: Thank you Beatriz or Beatriz, thank you very much for your question. This is Alex here and nice to talk to you again. On PRE and then the credit redemption. On PRE, I think we did sign the deal late 2024. All the conditions precedent to the deal as of today have already been completed. So the closing of the deal actually happened last week. So the deal is basically done. Of course. Now you know that these M&As, this is kind of the normal process now you significant, and then there are conditions precedents that includes several regulatory bodies antitrust, this that we had other regular conditions precedents also that has to do with this particular deal. But again all the conditions precedents were completed and resolved by last week. So the deal was closed. It did generate approximately $60 million of performance fees. All $40 million approximately $40 million accounted for the general partner and $20 million as bonus. We do break down the performance fees in 35% goes to the team. So 35% of $60 million is approximately $20 million that's paid out to the team. So we do not account for that. It does not run through our P&L it is paid directly to the team. And $40 million we account as performance fees approximately $40 million, which is 65% of $60 million. All accounted for in the fourth quarter. Because the deal was signed in the fourth quarter, and by accounting procedures and measures we have to account it in the fourth quarter. Just as a general comment, I feel comfortable that we are on target there with the guidelines that we gave in our last PAX Day. December 9 of 2024, the $120 million to $140 million of performance fees over the next three years. So that already accounting for that, or if you go back to PAX Day 2022, $180 million for the '23, '24, '25 period. If you sum what we already had since the 2022 PAX Day today is $110 million more or less. So another $70 million to go for the $180 million, which is the guidance that we gave in '22, or the guidance that we're giving now the $120 million to $140 million for the next year. So I think, we're going to be able to reach any kind of guidance there that you see fit. Continuing on your question on other divestments. Yes, of Infrastructure Fund III that you asked. Yes, there's several other assets that we are pursuing exits. Yes, we have in Infrastructure Fund III there's still several very interesting assets like a thermal power plant that we did construct together with Mitsubishi and Shell. So it's already in operation, which is known the first thermal plant in Brazil that uses the gas from the pre salt oil exploration as energy. We also have toll roads in that fund. We also have a participation in a parking lot business that we sold to Indigo, the French company. And all of these companies are in discussions for realizations. So we continue to see a good momentum of realizations for Infrastructure Funds III, which was your question. And also for other assets as well in other funds of the portfolio. But specifically Infrastructure Fund III that you asked. Yes, because it is already in the carry zone, which is the most obvious ones that will generate performance fees for 2025. On the redemption, I think we know specifically, I think that if I understand your question, we saw a redemption for our high yield credit fund in late 2024, but that was already reinvested, or recommitted early 2025 was basically, it's an SMA. The mechanic of this SMA that once we have realizations in this SMA, this is a credit strategy SMA with an exact quasi sovereign fund in North America. And the mechanics is that once we have realizations, we have to give the money back to the investor and then this investor actually recommits, which this investor did early '25. So it was more of a movement that has to do with this particular client and this particular SMA, and the way that the SMA was constructed. It's a North American quasi sovereign fund that invest with us for more than 20 years and we have this SMA with them for more than 10, 15 years. And you will see then, once we do post the first quarter results for 2025, that these resources were already reinvested back in the credit strategies, okay. Actually, the redemptions for our credit strategies in 2025 were very, very small compared to the size of the funds. I think going back to 2022, we had the redemptions that were basically driven from the Chilean pension funds issues that we had back there that, because of COVID. And then in 2023, redemption started diminishing and in 2024 they were basically insignificant for the size of the fund. And we foresee that in 2025 that's going to continue to be the same small redemptions for the credit strategies with a positive net new money flows for those strategies. Okay. I hope I answered your questions.
Beatriz de Abreu: That was very clear. Thank you. Alex.
Alex Saigh: Thank you.
Operator: Thank you. And our next question comes from William Barranjard with Itau BBA. Your line is open.
William Barranjard: Thank you everyone for your time. I have two questions here. I think the first one is more related to the fundraising figure expected for 2025, which in a release is around $6 billion. If you could give us a little bit more color on how you expect the breakdown of it by the strategies. And my second question is on the debt figure you disclosed. So, net debt of US$190 million. But I just wanted to check if the indication given, from you during the Investor Day of that debt per FRE are maintained. So if it is maintained, it is okay if I should expect the current gross debt levels, to be maintained throughout until 2027?
Alex Saigh: Yes. Thank you very much, William. Nice to talk to you as well. Thanks for your questions. I'll try to answer the fundraising question, then I'll turn over to Ana. On your question on the net debt. We would like to give us the flexibility on the $6 billion fundraising target. It's very hard to pinpoint exactly. Of course, we have a very, very well organized planning for the whole year of 2025 and for '26 onwards per asset class. We have 38 different strategies within these asset classes. Six asset classes that we have and per channel per geography. It's extremely well done, and organized by the commercial team that today is headed by Daniel Sorrentino, my partner. But we don't give out the breakdown of the $6 billion, because we like to keep this flexibility. Maybe we raise more here. Maybe we close on an SMA. SMA, they are chunky, right? Normally, SMAs are $500 million plus to $1 billion, to $10.5 billion. So These chunks of SMAs can close and the SMA for a specific strategy. And that can change the mix as we move forward during 2025. However, as we see things during the year, as we mentioned, we did raise around $5.3 billion, $5.4 billion in 2025. $300 million of those were placement agents, related fundraising, which does not add to our fee earnings AUM base. We just receive a fee. So we have to go from $5.2 billion to $6 billion. So it is of course a jump. But given what we have been doing and growing this ability of fundraising and more products, more strategies, more geography over time. We feel comfortable that we're going to get there. Now having said that, what I can say is as I look into 2025, at least within the Latin American region and going to Brazil specific, and then I'll talk to about the other countries. Given the high interest rates in Brazil still for 2025, we're probably going to see more appetite for credit related strategies, and infrastructure related strategy, because of the inflation protection that you have for the infrastructure for our infrastructure strategies versus equities related strategies, number one. Also we also see in other countries in Latin America, but in Chile, because of already the low inflation, and low interest rates environments in Chile and heading down. We see a turn in Chile already for equity related strategies, as investors want to position themselves before the market actually starts moving up again. So these are. No, so it's country-by-country. I'm giving you a general color. As we move out of LatAm, we still see a very intense interest in our GPMS strategies. Interest rates in the U.S. continues to be high, and everything there about the general view of the U.S. interest rates. With that now, the divestments for the private equity funds in general in the U.S. continues to be smaller than investors expect. So the general partners and limited partners look for deals in the secondary market, which benefits our GPMS strategies in the U.S. and in Europe. So I see outside of LatAm, GPMS I think will benefit from this macroeconomic situation. And in Latin America it's country-by-country. But in the end, I think we like to keep the flexibility and not give a specific breakdown on the $6 billion fundraising. I'll turn to Ana now on the net debt. Ana?
Ana Russo: Hi, good morning. So our net debt as we go up $190 that mentioned in this call is in line of our expectation. I think if you remember when we discussed our earnings call, the last earnings calls in Q3, this is what our expectation, and this net that is impacted, our funding was impacted by our M&A payments, and also the year-end obligations that we had. So this was something that we expected to, as it was in line with our expectation. When we look going forward, we look into two things. First is we have a likely reduction in the first half of the year, which as we progress the first quarter and the second quarter, but a more, I would say higher reduction in the second half of the year. But our debt to FRE ratio is expected, as we discussed during the PAX Day, to be slightly below our one-to-one debt. So it's going to be slightly below, so that when we look into that, you can look into a reduction throughout the year as we progress through our 2025.
William Barranjard: Thank you. Thank you very much for the complete answer.
Alex Saigh: Thank you, William.
Operator: Thank you. [Operator Instructions] Our next question comes from Ricardo Buchpiguel with BTG Pactual. Your line is open.
Ricardo Buchpiguel: Good morning, everyone, and thank you for the opportunity of making questions. I have also two here on my slide. So first we saw that Chile approved pension reform this year that would add more money for the local pension funds. And I imagine that credit and public equities would be very benefited with that. So I wanted to hear a little more on your thoughts on the potential this reform could add, and talk a little bit about the timing on how you're expecting potential impacts of that. And also related to the reform, I think another possibility that we could have, is more inflows coming from pension funds to infrastructure and private equity, local products, right. You mentioned the call. They are looking to build more kind of a local specific product for each region. So I wonder if you guys are already, kind of preparing to build more local Chilean private equities, and infrastructure funds in order to seize this opportunity. And another thing that I wanted to ask is if you could talk a little bit about your expectations on real estate inflows this year, right. Because it's a asset class that I believe it's more connected to the funding in Brazil. right. And given the tough macroeconomic scenario we are facing, it's fair to expect that perhaps it'll be harder for you to launch new funds or do follow-ons these years. Given the exposure, perhaps most of the growth would come from other regions in the real estate segment? Thank you.
Alex Saigh: Yes, thanks for the question. Ricardo, Nice talking to you as well. Starting on the pension fund reforms in Chile, I think it's taking one step back. I think it's not only Chile. I think that in general, given the kind of governments that Chile, Colombia, Mexico that have recently elected these three countries, all of these three leaderships, these three Presidents of these three countries have actually approved reforms, to increase the contributions to the pension funds. Of course, the increase of these contributions comes mostly from the employer, not the employee, but whatever. So in Mexico, from around 6% to around 12%. In Chile, the same trend of increasing contributions to the pension funds in Colombia, the same. So actually we're here in the bank of America Conference. The Bank of America, Mexican economist did put out a report that the total pool of pension fund managed money of the Mexican pension funds, Colombian, Peruvian, Chilean and Brazilians, which total approximately 700 and something billion, will basically double to $1.5 trillion in the next five years, because of exactly what you said, plus of course NAV appreciation. So these pension funds, they do have a home biased approach, to investing plus regulatory restraints in investing outside of the country. And in addition, in Colombia and in Mexico, pension funds are also required to invest in assets that promote the development of the economy. And private equity and infrastructure fits right into those categories. So they investing in our funds in Colombia and New Mexico, private equity and infrastructure funds, they comply with that requirement of the regulation. Okay. And we are seeing that the same might happen in Chile as well. And interesting enough, the same is actually being considered to happen in the U.K. in the United Kingdom, which the current Labor government, is also proposing a legislation that U.K. pension funds will have to invest a percentage in promoting the local economy, the U.K. economy. And so our funds as well there in the U.K. can benefit from that. Specifically in Chile, yes. And I think the strategy and in Colombia and in Brazil, and as we move into Mexico, not at this moment, we don't have this strategy implemented in Mexico. We started then developing local products for local investors. So I'll tell you about the most recent ones. We are currently raising a private equity and infrastructure fund in local Colombian pesos for the local Colombian pension funds. And we already got a significant commitment from some local Colombian pension funds, to this private equity and infrastructure fund. We did the same in Brazil for local institutional investors, mainly pension funds, private equity and infrastructure. In Chile, for example, as we mentioned a couple of minutes ago, the Aguas Pacifico divestments, the desalinization plant in Chile that we divested, the investors of the acquirers, the group of investors that acquired this asset, one of them was a Chilean pension fund. So you can see the interest of these pension funds in infrastructure related assets. So for all of our strategies, now taking a double click down, be it infrastructure, private equity, credit, public equities, we have, and we continue to develop local strategies. In credit, the question that you asked, we do have a local Chilean credit strategy, which is extremely popular with our investors and the very, very good returns. We also launched now a local Colombian business credit strategy for Colombian investors. We have a local public equity strategy in Chile, which is our renowned Pionero Fund that actually did reach its 30-year anniversary last year with Pablo Echeverría being the Manager of this and the co-Founder of Moneda, with amazing returns since inception. We're also launching as we speak a Brazilian public equity strategy. And the way that we see our menu of products developing that for every asset class we will have a Penn regional dollar denominated strategy. We're going to have a Penn regional local currency denominated strategy and we're going to have a country-by-country, country-by-country. These five countries that I mentioned, Mexico, Colombia, Peru, Chile, Brazil, a local to local strategy for the five different asset classes. So we have for example in credits, a Penn regional dollar denominated credit strategy. We also have a Penn regional local currency denominated strategy, which invests in these five countries in local currencies. And we have a specific Chilean credit strategy, a specific Colombian credit strategy. So investors can actually choose mostly investors that are outside of LatAm. They like the Penn regional dollar denominated strategy that focuses more on buying dollar denominated securities, and the local pension funds, because of their home buyers, because of regulatory issues, because they like to have assets and liabilities in the same currency, they prefer investing locally in the local strategies. So this is exactly the core of our strategy. We think it's a major differentiating factor of Patria. I don't see any other global alternative asset manager being able to do what I just mentioned, because of the boots on the ground that you need to have in these five countries. We have over 80 people in Colombia today. We have over 150 people in Chile today. We have over 200 people in Brazil today developing these local strategies, for these local investors. As we develop this with our brand name and the Moneda brand name and the Bank Colombia JV in Colombia, not only we reach the institutional channel, we also reach other channels like the multifamily offices, the single family offices, the digital platforms, independent financial advisors, et cetera. So going also into retail and mostly our retail related products, are the listed funds and the more liquid strategies. Because of the nature of this and the profile of this retail investor. So very excited this is core of what we're doing and I think we mentioned during my part of the earnings call script here that over 50%, over 70% of what we raised last year, and over 50% of what we raised in the fourth quarter of last year, came from local investors in these local strategies. As we talk also about the real estate inflows in Brazil, yes, high interest rates do affect, I think the inflows for our real estate funds. But I would break down our real estate funds into major categories. What we call the bricks and mortar strategies and the security strategies, right. So we have these two strategies. We are market leaders in most of the sub-segments of the real estate industry, investment trust industry in Brazil. So as you know, this industry in Brazil is segmented by thesis. So you have a strategy that focuses in corporate offices, a strategy that focuses in logistics assets, another strategy that focuses in retail assets, or real estate, of course, and strategies that focuses in buying securities, buying the C-R-I-S, the CRIS. That strategy I think is going to be very successful this year, because as other strategies might suffer, because of the high interest rates. On the contrary, the security strategies do benefit from that, and we see demand for those strategies. And our funds have been performing very well where their market value are very close to NAV, sometimes even some of our funds, even with a premium to NAV. So we see raising money for those strategies. But yes, I think the brick and mortar strategy will be affected negatively, because of the high interest rates in Brazil. Outside of Brazil, we have a real estate strategy in Chile and in Colombia. In Chile, as I mentioned, we see interest rates coming down. So that's the opposite. Now we see investors actually willing to invest in the real estate related strategies to lock in duration, lock in duration. In Colombia, not yet. I think in Colombia the interest rates are coming down, but not the velocity that we see coming down in Chile. So it depends on the country, depends on the strategy that I just mentioned. But brick and mortar, specifically in Brazil suffers with high interest rates. I hope I answered your questions.
Ricardo Buchpiguel: Thank you, that's very clear. And just a very quick follow-up. How much is the brick and mortar strategy over the total AUM from the real estate?
Alex Saigh: Real estate Brazil is approximately R$23 billion. I think there's other questions coming during and I'll come back to you.
Rob Lee: Page 17 will give you the investment performance. It will also give you the breakdown of the AUM and by type.
Alex Saigh: Ricardo, I think the Investor Presentation, Rob is just mentioning here the Investor Presentation on Page 17, we give all of our real estate investment trust, AUM, NAV and performance. And we'll do the math as I answer the other questions here over the call. But I know that the total is approximately R$23 billion. I'll give you the breakdown in a couple of minutes if you don't mind.
Ricardo Buchpiguel: Thank you. Thank you very much.
Alex Saigh: Thank you.
Operator: Thank you. I'm showing no further questions at this time. [Operator Instructions] I'm showing no further questions at this time. I would now like to turn it back to Alex Saigh for closing remarks.
Alex Saigh: Okay. Great. And just as a side note, Ricardo, just doing the math, we reach out to you offline to give you this breakdown of the R$23 billion of REITs. How much is brick and mortar? How much is securities? So thanks for your patience. Now, coming back to the closing remarks. Again, we're very, very pleased and extremely honored and happy with the team. At the end of the day, we managed to reach these results. Again, the guidance and reaching the target of $170 million of fee earnings AUM and distributable earnings of $189 million with performance fees of $40 million plus, et cetera. An extremely good year for no 2024 for us. Extremely happy. We are a people business and I hear, I really want to congratulate the huge efforts that was done in environments that sometimes were not very pro. The business that we faced globally, geopolitical issues, whatever, around the world. And going into 2025, we're very excited. We had a good January already. Looking into the year, as I mentioned, I think we feel very comfortable in reaching the $6 billion fundraising targets. Also we see that we will deliver on the $200 million, $225 million FRE, and also with good perspective of generating additional performance fees with the sale of us of several of our assets of funds that do generate carry, excited here and thanks for your patience. Thanks for keeping up with us here for this call. I hope to see you presently in this conference here, or shortly as we visit you at your offices. Thanks a lot. Talk to you guys soon. Bye-bye.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.